Operator: Good afternoon, and welcome to Fluor Corporation's First Quarter 2012 Conference Call. Today's call is being recorded. [Operator Instructions] A replay of today's conference call will be available at approximately 8:30 p.m. Eastern Time today, accessible on Fluor's website at www.fluor.com. The web replay will be available for 30 days. A telephone replay will also be available through 8:30 p.m. Eastern Time on May 9 at the following telephone number, (888) 203-1112 with a passcode of 4598372 will be required. At this time, for opening remarks, I would like to turn the call over to Ken Lockwood, Vice President of Investor Relations. Please go ahead, Mr. Lockwood.
Kenneth H. Lockwood: Thank you, operator. Welcome, everyone, to Fluor's First Quarter 2012 Earnings Call. With us today are David Seaton, Fluor's Chairman and Chief Executive Officer; Mike Steuert, Fluor's Chief Financial Officer; and Biggs Porter, who as you all know, will be assuming the Chief Financial Officer role upon Mike's retirement. Our earnings announcement was released this afternoon after the market closed, and we have posted a slide presentation on our website, which we will reference while making prepared remarks. Before getting started, I'd like to refer you to our Safe Harbor note regarding forward-looking statements, which is summarized on Slide 2. During today's call and slide presentation, we will be making forward-looking statements, which reflect our current analysis of existing trends and information, and there is an inherent risk that actual results and experience could differ materially. You can find a discussion of those risk factors in the company's Form 10-K, which was released on February 22, 2012, and in our 10-Q, which was filed earlier today. During this call, we may discuss certain non-GAAP financial measures and reconciliations of these amounts with the comparable GAAP measures are reflected in our earnings release and are also posted in the Investor Relations section of our website at investor.fluor.com. With that, I'll turn the call over to David Seaton, Fluor's Chairman and CEO. David?
David T. Seaton: Thanks, Ken. Good afternoon to everyone, and thanks for joining us. Today, we'd like to review our results for the first quarter and discuss the trends we're seeing for the remainder of this year. But before I get started, I want to acknowledge Mike Steuert's contribution during his 11 years with our company. His presence on our leadership team has been a calm influence during some of the most economic -- turbulent economic times in probably in the last 50 years. Mike's legacy will include leaving Fluor with a robust balance sheet, strong cash reserves and an impeccable credit rate. We appreciate all that Mike has done for us as Fluor's CFO, and we wish him all the best in his retirement. As Ken said, Biggs Porter is also with us today. Biggs was most recently the CFO of Tenet Healthcare, and during his career, has held senior management positions with Raytheon, TXU and Northrop Grumman, to name a few. I believe Biggs has a deep of understanding of the demands of leading a global finance organization in today's uncertain marketplace, and his diverse industry experience and leadership style will help the company continue to create shareholder value. Biggs, I wonder if you'd like to say a few words before we get too deep into the information.
Biggs Porter: Thanks, David. I'll be brief. I'm very happy to be here and excited about being with the company. It has such a great history and prospects. David, Mike and our controller, Gary Smalley, and the rest of the team did great work with me to get me up to full speed. And of course, I'm looking forward to meeting Fluor's analyst and shareholder community.
David T. Seaton: Thank you, Biggs. Now let's turn to our financial results, and I want to start by covering some of the highlights of our first quarter performance, and I ask you to please turn to Slide 3. Net earnings for the quarter were $155 million or $0.91 per diluted share, which compares with $140 million and $0.78 per diluted share a year ago. Consolidated segment profit for the quarter was just over $253 million, which compares to $249 million in the first quarter of 2011. Consolidated revenues for the quarter were $6.3 billion, an increase of 24% over the $5.1 billion reported a year ago. Now I'm particularly pleased to report that the results for the quarter included double-digit growth in both revenue and profit for our Oil & Gas segments, Industrial & Infrastructure segment, as well as our Global Services segment. 2012 new awards got off to a very strong start with $8.4 billion in contracts awarded during the first quarter. Segment awards included $3.9 billion in Oil & Gas, $3.7 billion in Industrial & Infrastructure. Our consolidated backlog rose to a new company record of $42.5 billion, a 14% increase over a year ago. And now please turn to Slide #4. At $3.9 billion, the Oil & Gas segment had a very strong new awards production for the quarter, including the TCO award in Kazakhstan, an award for Reliance Industries in India, Pemex in Mexico and incremental scopes on oil sands and offshore projects in Canada. Ending backlog for Oil & Gas rose $1.7 billion over last quarter and 24% over a year ago to end the quarter at $16.8 billion. During the quarter, we announced an alliance agreement with Dow Chemical, provide EPC and construction management support for their global capital projects program. In addition, BASF, another key [ph] client, expanded their existing partnership agreement with Fluor to include not only Asia and Europe, but also North America. I believe these agreements validate our leadership in the petrochemical industry and demonstrate the kind of partnerships that we have with many of our customers as they continue to expand globally as well as domestically. We continue to work on numerous front-end programs in Oil & Gas. We feel very good about this continuing level of FEED activity as it represents a tremendous aggregate total installed cost and sizable EPC opportunities for Fluor. The Industrial & Infrastructure segment also posted strong first quarter new awards at $3.7 billion, including an iron ore project in Western Australia, a copper mine expansion in Peru and 2 copper projects in the United States. The Mining & Metals business line is working on a number of feasibility and FEED contracts, and commodity markets continues to support the substantial ongoing capital investments of our customers. 2012 is shaping up again to be another busy year. Backlog for Industrial & Infrastructure rose to $21.4 billion, which is an 8% increase over last year. With regard to infrastructure business line, I want to provide you with a quick update on our Greater Gabbard project. The project is essentially done, all 140 wind turbine generators installed and energized and all cabling laid. All cables are connected with the exception of one which is in process. With mainly punch list items remain, we should be substantially complete as we expected and communicated before as we end the second quarter. There have been a few media reports in the past regarding counterclaims by our customer; we believe their claims, which allege defects, are completely without merit. Turning to Slide 5. The Government segment bookings in the quarter were $389 million compared to $882 million a year ago, which booked the initial award of Portsmouth. We continue to see a consistent level of task order volume under the LOGCAP IV contract in Afghanistan at least through 2013, and we recently announced a new task order awards for the U.S. Army in Africa. We are pleased to report that the protest of our win for the Jacksonville Naval Air Station contract was favorably resolved during the quarter. We're now actively engaged in transitioning onto this site. Ending backlog for the Government segment was $695 million. Global Services segment booked $249 million in new awards, including renewals for existing operations and maintenance contracts. We expect when the U.S. economy picture strengthens, it will have a positive effect on our O&M markets. Ending backlog for the Global Services segment was $1.9 billion. Now the Power segment had $93 million in new awards and an ending backlog of $1.8 billion. We're beginning to see a visible pickup in the number of opportunities for gas-fired power generation, which is encouraging. We're also anxiously awaiting clarity on the proposed but stalled pollution control guidelines. Consistent with our guidance for 2012, our Power segment results include the costs associated with the ongoing research and development investments in NuScale. NuScale is actively engaged in preparing its application for a Department of Energy funding through the FOA process announced in January. Now when you look at our end markets overall, we really see opportunities across the portfolio including Oil & Gas, petrochemicals, mining, transportation, power and government. International capital programs continue to rule the day but a strengthening U.S. economy would certainly be a plus. Now I'd like to turn it over, the last time, to Mike Steuert, Fluor's CFO and ask him to provide some of the details of the operating performance and our corporate financial metrics. Mike?
D. Michael Steuert: Thanks, David, and David keeps telling me to quit smiling. I've been doing that all day long. Anyway, I know it may be hard to believe, but I will miss these calls, and I will miss the regular interface with the investor community. But I am confident that you'll be in good hands with Biggs going forward. Our detailed results for each operating segment can be found in the earnings release and in the 10-Q. Please turn to Slide 6 of the presentation. As David mentioned, Fluor's consolidated backlog was up $3 billion over the last quarter to a record $42.5 billion. The percentage of fixed price contracts in our overall backlog was 13% at quarter end, with 79% of the backlog for projects located outside of the United States. Moving on to corporate items on Slide 7. G&A expenses for the quarter was $38 million, up from $34 million a year ago. The increase was a net result of quite a number of factors, none of which was individually significant. The tax rate for the quarter was 26%. We expect the tax rate for the full year to be in the 31% to 33% range. Moving on to the balance sheet. Consolidated cash from our securities ended the quarter with $2.7 billion, which is down about $100 million from year end. Cash utilized by operating activities was $47 million during the quarter, which was mainly due to the timing of payments in the U.S. Army for ongoing LOGCAP work. This quarter end, we have received approximately $200 million in LOGCAP payments. In addition, during the quarter, we repurchased $27 million of Fluor shares and paid $21 million in dividends. Capital expenditures for the quarter were $54 million, which compares with $56 million a year ago. In summary, Fluor's financial position remains extremely strong. Finally, let me conclude my remarks by talking about our guidance for 2012, which is shown on Slide 8. First quarter financial results including solid earnings, strong new awards and record backlog point to the company's growth expectations for 2012. At this early stage of the year, we are reaffirming our 2012 guidance in the range of $3.40 to $3.80 per share. Our 2012 guidance assumes G&A expense will be in the range of $160 million to $180 million, and that capital expenditures are expected to be approximately $250 million to $280 million. Now with that, operator, we're ready to take questions.
Operator: [Operator Instructions] We'll go first to Andy Kaplowitz with Barclays.
Andy Kaplowitz - Barclays Capital, Research Division: Mike, congratulations. David, maybe you can talk about going forward, prospects in Oil & Gas. I mean, I hate to be greedy after a very good quarter but can you still grow backlog from here? I mean, we always want more. So are the prospects pretty evenly distributed globally? How should we think about Oil & Gas backlog going forward?
David T. Seaton: Well one thing, we're absolutely aligned on growing backlog. I think as we've said in the past, it's going to be lumpy. But we really had a really good quarter this quarter, and I do believe as we end the year, we have the opportunity to continue to grow backlog. The prospects are across-the-board and it's not just Oil & Gas. There’s still a lot of headroom in a lot of different markets. But specifically to your question about Oil & Gas, I think it's pretty diverse, frankly. It's geographically diverse. And it's both in upstream as well as downstream but I do believe you're going to start to see a significant amount of petrochemicals come back in through that backlog. As we said, we've got 2 really good relationships with 2 of the premier people in that petrochemical market. So we feel like we're in a pretty good position for the uptick that I think is going to take place over the next 5 years in the United States. But I think the story is, is our global footprint and our ability to satisfy a pretty wide-ranging list of Oil & Gas customers just about any place on the planet.
Andy Kaplowitz - Barclays Capital, Research Division: That's helpful. And then obviously, we're getting lots of investor questions on mining CapEx and how that might have affect Fluor going forward. I mean, you've, I'm sure, read or heard from -- about from Rio and BHP in their comments lately about mining CapEx. You -- how does that factor into your thinking going forward, about what you see out there? I mean, obviously, we know there's a lot out there. But what do you think the chances are that some of these big prospects that you're doing FEEDs on sort of get pushed to the right a bit?
David T. Seaton: I think I still look at the commodity markets and the growth projections that are out there pretty much globally into the '14, '15 timeframe. And in order for our customers to hit those marks, they have to be spending today. Of the projects that we have in our sights, we really don't see any of them significantly moving to the right. We feel pretty good about -- we feel very good about the backlog that we have and the prospects that will be awarded as we go through the next, say, 3 to 4 quarters. So although I've heard the same things you've heard, the actions of our customers on the ones that we're focused on, the projects that we're focused on, we see relatively little volatility in those programs.
Andy Kaplowitz - Barclays Capital, Research Division: Mike, I think it would only be appropriate for your last call if I ask you about I&I margins at 3.7%. We've been spoiled by 4%-plus. Anything in the quarter here? I know you're over-absorbing in mining, so mining margins should be pretty good so what do you think?
D. Michael Steuert: Well, they're going to stay healthy, Andy. I mean, they have bounced around. They will bounce around a little bit, plus or minus 4% as we go through 2012. I think we had solid margins this quarter, and I expect to see healthy margins through the rest of this year. I mean as David said though, the market remains very robust.
Operator: We'll go next to Jamie Cook from Crédit Suisse.
Jamie L. Cook - Crédit Suisse AG, Research Division: Anyway, just 2 questions. One, again, the awards were very healthy on the mining side even with some of the more cautious comments out there. I thought the awards in mining would sort to be back-end loaded. So can you talk about was there any pull-forward in awards relative to what you thought or were you just being conservative before? On the Oil & Gas side, the profit dollars over the past couple of quarters have been consistent, but the margins have showed 3 quarters of modest improvement. So how do we think about that in the back half of the year? And then my last question, Mike, I am surprised we didn't see more of a share repurchase in the program just given how your stock has been trading recently, the concerns on mining and just the prospects you have out there. So if you can just address that.
David T. Seaton: Mike, why don't you handle the last one, and I'll take the mining and Oil & Gas questions.
D. Michael Steuert: Okay. Well, Jamie, one of the things we've said over the past years is we've kind of gated our share repurchases to our free cash flow generation. And as we said, we used about $100 million of free cash flow in the quarter, about $50 million from operations and some for share repurchase and dividends. And that was just a reflection of the fact that we are building working capital as the company grows throughout the year. If the stock --clearly, as the stock price stays where it is, which I think is tremendously undervalued given our prospects, I think the company is to going to very seriously look at share repurchases as they move through 2012 going forward.
David T. Seaton: I'll talk about mining first. Jamie, we never really communicated where we were going to be in the first quarter, and we did signal that it was back-end loaded, and I still agree with that sentiment. We're pretty much on target, and I'll use that lumpiness word again as we talk about mining and as we talk about Oil & Gas because I think this year, it is going to be probably more lumpy than it's been in past years. I do believe, as I've said that in both mining and in Oil & Gas, it is back-end loaded. So even with the good quarter we had, we think we've got some bigger quarters to come, assuming that things stay on cycle. Within Oil & Gas, we're right on target. I think as we talked about during the end of last -- well middle of last year, end of last year that we thought we were at an inflection point in earnings and Oil & Gas, and I look to see that to continue to improve as we go through this year.
Jamie L. Cook - Crédit Suisse AG, Research Division: So margins will improve in the back half of the year?
David T. Seaton: I'm not going to answer that question. You had your shot at Mike on margins. And I'm not going to give you another shot at it.
Operator: We'll take our next question from Michael Dudas with Sterne Agee.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: David, how is your utilization rates at your offices? How do you feel about the amount of professionals that you have on staff, given the growth in backlog and your pretty good expectations for continued growth into the future? And do you start to see some of the excess capacity in the marketplace start to get put away and maybe we'll see a little bit more quicker joint ventures or alliance agreements like you've kind of talk about with Dow and BASF as you move forward 2012?
David T. Seaton: Well, I'll answer that backwards. I think the agreements that were -- that I mentioned aren't because of a tightening in the marketplace. I think it's a testament to the performance on projects that we've executed for those 2 companies over the last several years. I think we've got a very good understanding of how to get the best bang for the buck, and I think that these agreements were a testament to that. So I think that our performance on many programs around the globe for these folks are really starting to pay dividends in how we interact with our customers. The first part, I guess, of your question was -- I forgot.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Regarding your employees, your...
David T. Seaton: Sorry. We feel very good about that. I think we've proven that we're the employer of choice in our marketplace, and with the tools and systems that we have and the on-boarding process and the educational opportunities, we'll continue to be that. We are not seeing any pinch points, as we speak right now, relative to the professional employees we need, regardless of the region. I think as we've talked before, the only place that I really see some difficulty in the future is in the craft employee range, where we need to really turn up the heat on the training and identification training of resources on the craft side in several places around the world, specifically Australia and I think specifically in the United States as we start to get towards the EPC of many of these petrochemical programs. We feel really good about where we sit relative to our ability to attract and retain the level of professional resource that we need to do; a growing backlog of projects as we go through the next 2 years.
Operator: We'll go next to Andrew Obin with Bank of America Merrill Lynch.
Andrew Obin - BofA Merrill Lynch, Research Division: So in terms of question, if I look at your EPS guidance and if I look what you guys did in this quarter in terms of EPS, sort of implies that you're relatively flat EPS throughout the year, particularly the low end of the guidance was all the puts and takes. Yet your backlog growth in the quarter was very good, and you are implying that the backlog growth throughout the year could actually get better. So what exactly are you guys saying about the burn rate of the backlog or are you just being conservative?
D. Michael Steuert: Well, Andrew, as you look at our revenue over the last 4 quarters, the burn rate has gone up, and I think that will continue to go up as we move through 2012 with our healthy backlog. There are obviously some things happening in the year. Power is not going to be as strong as it was last year, but we do see some continuous, obviously, some improving strength in Oil & Gas and Industrial & Infrastructure, especially and Global Services continues to grow very nicely. So on balance, our guidance reflected all that and also reflected our planned investments in NuScale throughout the year. And taking that all together, I do think we're going to see overall strength as we go through the year. And we gave a range of guidance, I know you guys are at the top -- consensus is still in the top of the range and we'll just see how the year turns out. But right now, I think everything looks very positive for us. I mean, I'm not going to really narrow the range or do anything else right now, but I just think that we had a really solid first quarter and we look forward for that to continue.
Andrew Obin - BofA Merrill Lynch, Research Division: We'll always try. Let me ask you a question in terms of the payments from the government. Are you guys seeing generally a trend, in particular, there's $200 million delay? Are you seeing a trend that the government is extending base payable to the contractors?
D. Michael Steuert: No. What's was happening is the government is being pretty finicky in what's required to get payment, and we're just taking our time and making sure all our invoices are correct and every i is dotted and every t is crossed and it takes us time to get invoices submitted. Once invoices are submitted, they're paying rather quickly. It's not that they're extending our payment terms. It's all the work that has to go into and getting ready to be paid.
Operator: We'll take our next question from Tahira Afzal with KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: First question is in regards to Dow Chemicals. We've had several of your sales also highlight a very strong relationship with Dow. So could you talk a bit about what sets Fluor apart from some of your peers when it comes to Dow Chemicals? And as you see your opportunities in North America, what really singles you out?
David T. Seaton: Well, I think it's -- it goes back to the history of what we've done. I think when you think about the ethylene chain, we're not part of that ethylene club for a reason. It gives us the ability to kind of take an objective view of technologies and how they are deployed, which I think it has proven over time to be a very successful area. I think we're extremely strong on the front-end FEED type of work and deliver a completed FEED package that I think is second to none in that industry. And what that translates into is surety of completion both in terms of cost and schedule. I think the global nature of our reach is also part of our customers look at wanting to be in more of a closer relationship with us so that regardless of where they have a capital asset opportunity, they've got an ability to come to us to help deploy that. When you look at what we've done for Dow over the years in Kuwait, in Argentina, in the United States, it's a long-term relationship where you tend to have people that understand exactly how to start a program, and you don't start from square one when you're pulling these teams together and these scopes together. I just think it's a -- like I said, it's a testament to our history, but clearly, customers value our diversity of geography, our strength in technology deployment, our I think, unending supply of talent and our ability to deploy that talent anywhere in the globe.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: That was very helpful. My second question, and I had to throw one in, of course, on NuScale. I was at a recent conference on SMRs in South Carolina, and the NRC representative highlighted your design as being one of the 2 key designs they're focusing on. And the sense I got was that their licensing process to date is very much on track. I just wanted to get an update to the extent you can give that and really maybe provide some color on whether if things are on track if that is helping you, or let's say, to elicit [ph] more partners?
David T. Seaton: I think so. I think we're absolutely on track or NuScale is on track to submit their application for FOA this month. We are expecting an accelerated review and award of the FOA, which could be as early as September, which is in line with what our anticipated schedule was going to be. And I think once FOA is awarded to NuScale, there will be lots of investors clamoring. We've had lots of discussion with many, many potential investors, but I think they're being prudent, waiting to see who actually does get the FOA. But I feel very confident that once that takes place, we'll -- they'll be off to the races.
Operator: We'll take our next question from Brian Konigsberg with Vertical Research.
Brian Konigsberg - Vertical Research Partners Inc.: So you had a nice project win in Canada with oil sands. I'm just curious, it seems like a lot of projects could start getting up off the ground maybe in phased deployments. I was just curious how you see that progressing through 2012 and '13 and kind of had to move the needle within the Oil & Gas section as well.
David T. Seaton: Well, I think it's going to be consistent as we go through the year, and yes, it will move the needle. I think it bodes better as we get into '13 and beyond because I think as you said, the oil price, still above $100 in some of these projects getting to a point where it's time to pull the trigger is certainly going to add that opportunity for us. And I think just like I mentioned in petrochemicals, I think we're extremely well positioned in Canada to perform a lot of that activity. I think our experience there, again, is seen very positively by our customers and being able to go from FEEDs to EPCs is a logical move. And we feel pretty confident about where we stand. And that market continues to be a major contributor to Oil & Gas' earnings as we go through the next 2 or 3 years.
Brian Konigsberg - Vertical Research Partners Inc.: Okay, great. And separately, can you just give us an update on Conga? It sounds like that's kind of a wait-and-see mode. Is that having a material impact on the outlook on '12? Maybe just give us a feel for what's going on there.
David T. Seaton: No, no material impact on '12. They're still going through their process and revalidating those permits, and we'll just continue to support the customer as we go through the -- probably through the summer in dealing with that. But no indications that, that's going to change, necessarily. Those projects are challenged, they're large, the government involvement tends to delay things, and this isn't really any different than a lot of other mining projects that we do around the globe. This one just happened in the middle as opposed to in the beginning and delayed it, so even a negative outcome on Conga does not materially impact Fluor in '12.
Operator: We'll take our next question from Will Gabrielski with Lazard.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Can you give us a little more detail on the Oil & Gas projects that you announced by name? Are you booking full scope on TCO at this point? I mean, is this stage really set? Can you just walk through them maybe and give us a little more color?
David T. Seaton: I think TCO is just the first increment. There'll be increments as we go through the next few years. It's a very, very large project. And like I said, this is just the first tranche. On Reliance, we have the responsibility for the EPCM services, as well as some of the procurement on both the gasifier and on the petrochemical facility. And in that particular case, we don't see any additional awards on that scope. There are other projects that we're pursuing with Reliance, and that's a good -- we're also a good start with that relationship, and I feel very, very good about that. On the oil sands, there's going to be several increments as we go through '12 and '13 on several of those programs, including Syncrude and some of the other programs. So I think we've got good visibility into the next 4 to 6 quarters and there'll be significant amounts of those programs that follow.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Is that the same for the Pemex, was that the Hidalgo Refinery or...
David T. Seaton: That was the FEED. So yes, I apologize. There is EPC values as we get into next year.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay, fair enough. And then in mining, you noted that you wanted something in Australia in the iron ore side. Any color on the customer? Was that your normal customer? Was that outside of your normal work?
David T. Seaton: No color.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: No color?
David T. Seaton: Sorry.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: That's fine. And was there any adjustment from...
David T. Seaton: No color, but you're pretty perceptive.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Was there any adjustment made for Ma'aden in the quarter?
David T. Seaton: No.
D. Michael Steuert: No.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Or is there any planned adjustment, based on some of what the trade press was talking about in terms of scope change?
David T. Seaton: Modestly, so potentially, I think that what we're seeing is performance issues on the part of some of the contractors that have been selected. And if in fact, they can't rectify their performance, there may be scope coming back to Fluor.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay. And then on the mix of work you're booking in Oil & Gas right now, a fair amount of PMC and FEED work and the dollars are certainly big. I guess, can you start feeling more comfortable that margins can -- not just trough and sort of sit here, but you get more comfortable that the second half maybe just fixed cost absorption or something starts driving a better than high 3s margin?
David T. Seaton: I wouldn't venture to give a number there. I would say that we are seeing utilization pick up, and obviously, there's a leveraging component to that. As I said a minute ago, I think as you go back over the last 6 quarters, we kind of saw the trough, and my expectation is that you're going to see improving margins as we go through this year and into next.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay. And then last question if you'll allow me on the buyback. Can you talk about matching cash flow to your repurchases, but you did do a pretty big bond deal last year, and I thought that was dedicated or targeted towards repurchases because you didn't want to repatriate cash to execute your repurchase program. So I'm just wondering what's holding you back on that.
D. Michael Steuert: Well, we did do a big bond deal, but we also did larger purchases last year that pretty much matched $600 million repurchase with a $500 million bond deal. I don't think you're going to see us do another bond deal this year. But like I said, if stock stays undervalued, I wouldn't be surprised to see us increase our purchases.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay. And then maybe Mike, on your way out, you could tell me what the fair value is so I can adjust my target.
D. Michael Steuert: I'd certainly like to see it above all your targets.
Operator: We'll take our next question from Scott Levine with JPMorgan.
Scott J. Levine - JP Morgan Chase & Co, Research Division: Mike, congratulations and we look forward to working with you. And I was hoping you might be able to provide some color regarding the margin trends you're seeing on the [indiscernible] margins on new work you're booking here in the quarter and maybe compare that to what's in your backlog and their respective segments and what you were booking a year ago. Are you seeing any meaningful change in the yield profit characteristics or mix of terms, cost plus versus fixed price, what have you?
David T. Seaton: You guys are all the same, and you're looking for guidance within guidance, and you're looking for us to mark a number. And we're not going to take the bait. I think the message that I think I’d deliver is we are seeing improvement in some of the markets. The predatory pricing that we saw 6 quarters ago has ceased and cooler heads are prevailing and the cooler heads and our clients that are prevailing is based on the fact that they're disappointed in the performance of some of those predatory pricing results. So I think we stayed true to our metrics, we stayed true to our risk reward expectations, and I believe that improving margins is something that we'll see as we go through the end of this year and next year.
Scott J. Levine - JP Morgan Chase & Co, Research Division: That's encouraging to hear. My follow-up question, so we saw that one of the other Australian LNG projects experienced an increase in CapEx projection, I think earlier today, maybe yesterday. And I was wondering if you can comment on your thoughts on exposure. I think you've indicated that you converted the Gladstone contract cost plus, but maybe some additional color or thoughts on the labor situation in Australia and how comfortable you are in executing against that?
David T. Seaton: Well, I think we've been pretty close to the estimates as we converted so we feel pretty good about our ability to perform on that upstream side. I really can't comment on the LNG projects that are experiencing increases. But I will say that the construction market is tight in Australia and it will do nothing but get tighter. So some sort of an inflation calculation in these projects I think is prudent. The outcome is yet obviously to be seen, but we feel good about the projects that we're doing and the estimates that we're working too right now.
Operator: We'll take our next question from Steven Fisher, UBS.
Steven Fisher - UBS Investment Bank, Research Division: On the topic of the major infrastructure projects like the Tappan Zee Bridge where you're shortlisted, did any one of those shortlisted teams get a competitive advantage or is it really going to be about price? And then can you talk about what kind of timing expectations you have for some of those projects?
David T. Seaton: Well, I think the timing is -- who knows on -- just using Tappan Zee as an example. They really haven't centered on how they're going to actually pay for it. So until there's a funding source, there probably won't be an award. I think we feel very good about our competitive position because of our experience with our partner, American Bridge, on the San Francisco Bay Bridge. And I think when you look at the execution of the Bay Bridge, it's going extremely well. So I think we've got a good opportunity to repeat that with a trusted partner. As we feel like we can be competitive both in terms of our execution approach as well as the cost. But there's a lot of infrastructure programs that are due to be bid as we go through this year, there's 3 here in Texas, and Texas is about the only place that has the funding source identified for these programs. There's a couple outside of the United States that we're pursuing, as well as some of the other ones in the Midwest and Northeast.
D. Michael Steuert: And Washington, D.C.
David T. Seaton: And as well as the Capital Beltway program in D.C. But obviously, Tappan Zee Bridge is a marquee project. We like doing those. It's a very large program, and there's very few companies and/or consortiums that can actually do that work and do that very well, and we feel like we're one of the best to do that.
Steven Fisher - UBS Investment Bank, Research Division: Sounds good. And then the 10-Q mentioned a benefit in Global Services from Afghanistan. So can you just clarify the role of Global Services there and maybe what visibility you have to continue to benefit the segment there?
D. Michael Steuert: What we do Afghanistan in Global Services through our equipment business, which just supplied one of our competitors, and that business has been going very well for us. It has been a very healthy profit contributor to our [indiscernible] business, which is part of Global Services.
Steven Fisher - UBS Investment Bank, Research Division: And is that expected to continue on or has that kind of reached peak or is it going to...
D. Michael Steuert: I would certainly expect it to continue at least until the end of 2014 as -- because I think we expect ourselves as well as our competition to stay in Afghanistan to -- into 2014 when the troops leave, or at least when they've sort of drawn down somewhat.
David T. Seaton: There was also an agreement signed that extends that -- some sort of commitment of the U.S. government to Afghanistan in the 2024, so I think there's opportunity beyond '14.
Operator: We'll go next to Alex Rygiel with FBR.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Two quick questions. First, is your forecast for a negative $0.20 impact from NuScale for 2012 still intact?
David T. Seaton: Yes.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: And secondly, what's the probability that Fluor pursues a similar project to Greater Gabbard now that it's over, over the next 1 to 2 years?
David T. Seaton: Well, we're involved in several consortiums right now, and I'll answer it this way. We've learned an extremely expensive lesson, and we would like to deploy those lessons on one that is contracted differently. We will not take on another one under the terms of which we took Greater Gabbard.
Operator: We'll go next from John Rogers with D.A. Davidson.
John Rogers - D.A. Davidson & Co., Research Division: Dave, just in terms of the uptick in bookings that you indicated we should see through the year and beyond, it seems as if, I mean, relative to the cycles we've seen in the past, it's a lot more -- not only is it a lot more diverse, but there's a lot more in terms of just incremental work with projects that you're already on as opposed to individual discrete projects. One is, is that fair or just my perception? And what does that mean for margins especially out in the years beyond? I mean, as you spread out, can you leverage that as well?
David T. Seaton: I think so. I think you've got a couple of very, very large programs that are going to be phased, and that's what you've seen, and I think that's a good observation. I do think though that there's a lot of new customers in there, but the projects, unfortunately, aren't the bazillion dollar project that we've seen in some of the cases lately. So when you look at that midlevel project, the $200 million to $500 million project, there's a lot of those in that $8 billion for the quarter, so -- but to get overshadowed because of the big ones. So when you think about diversity of market, diversity of geography, we're able to put in new customers at differing margin positions. So I think as a portfolio, as I've said, I see the markets improving for us and logically, our ability to deliver higher margin to our shareholders of possibility. But again, I'm going to keep using the word lumpiness when we talk about new awards because one of these programs can be 1/3 of the new award expectation. And if it moves from one quarter to the next or based on a planned award date, you could see some highs and lows even as it relates to the $8 billion that we put on the board this quarter.
John Rogers - D.A. Davidson & Co., Research Division: And as it relates to specifically to the Power market, you mentioned the gas opportunity. Could you give us a little more color on the size of that over the next couple of years potentially for Fluor?
David T. Seaton: Well, I think there's 2 pieces in Power that, in the near term, will start to gain benefit. One is gas, like you say, and depending on the size of the plant, you're looking at between $600 million and $800 million kind of projects, and we're working on numerous front ends right now on gas-fired power plants. With gas at $2, obviously, gas is, at least, being talked about as baseload power generating capacity and it's easier to permit. I think that we're well positioned on many of those to make those into EPC programs and start to grow our Power group again. The other piece of that is on the environmental compliance side, which is a large part of our Power offering. And we're working with several of the Power producers to look at those regulations and how they impact the generating capacity from coal. Many of our customers are ready to spend money based on the front ends that we've done and others have done to upgrade coal production, to change oversights from coal to some other fuel as well as shut down some of these facilities, all of which fall into our capability. The challenge is, as I mentioned in my prepared statements, we can't get a regulatory environment that has any surety to it that would allow customers to pull that trigger on capital expenditures. That's a huge input into their business model and they need surety. I think the point I would make is that affordable power is the only thing that is going to help overall economic development. Everybody on this call likes to go into their house and flip their light switch and the lights come on; pretty simple. If you look at where some of these regulations are headed, that may not be the case in the future unless you have good regulatory surety and you allow these companies to do what they do best and that's provide that affordable power.
Operator: Our next question comes from Robert Connors with Stifel Nicolaus.
Robert Connors - Stifel, Nicolaus & Co., Inc., Research Division: Congratulations again, Mike. And I have another margin question for you before you depart, but I swear it's not around guidance. But if I look at your U.S. pretax margins, you've been secularly up for about a decade versus your foreign pretax margins, which have been sort of secularly down. I'm just wondering if you capture or Fluor captures more scope on North America projects versus on the international side that, that would explain that and if that still the case for some of these petchem projects coming up?
D. Michael Steuert: I really don't think you can split it by North American versus international or non-U.S. Our business is so diverse and each businesses different in terms of this global marketplace in the U.S. and the rest of the world. So there's no real simple answer to that question in terms of margins. Obviously, we go through cycles and all our businesses have entirely different margin profiles.
David T. Seaton: We've also had a margin drag on Gabbard that may be impacting some of the numbers that you're looking at.
D. Michael Steuert: And we have very healthy margins in Global Services and predominantly U.S., we have very healthy margins in some of our DOE work in the U.S. as well. So it varies, but it also have a corporate expenses here, and a lot of other things, so it's really hard to come down to the bottom line question or answer there.
Robert Connors - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then looking back at some of the contracts won by those predatory Southeast Asian EMCs, would you agree that they tended to be mostly greenfield-type projects where the LSTK model is more applicable...
David T. Seaton: Yes.
Robert F. Norfleet - BB&T Capital Markets, Research Division: Whereas Fluor's reimbursable model is probably better suited to Brownfield expansion and phase projects that you're currently booking because they're more complex with more issues because the client wants as little downtime as possible?
David T. Seaton: I think that's a fair analogy, but I would also say that we can be very effective on greenfield process units too. I think that your categorization is correct if you go back over the last couple of years. When you look at -- just look at Sadara, as an example. There's a big program where the utilities and off-sites, which is the heartbeat of the plant. That's a reimbursable contract with somebody like Fluor where many of the process units are bid out on an LSTK basis.
Robert F. Norfleet - BB&T Capital Markets, Research Division: Okay. And then just one more. Can you talk about just potential and possibly timeline regarding your ICA Fluor JV providing some offshore fabrication services for some of the Gulf of Mexico prospects that you have as they move from FEED into EPC?
David T. Seaton: They've actually done quite well over the last few years in the tonnages that they've shipped. I can't remember the exact tonnages. But I do know that they've got active bids right now on a lot of tonnage in support of the Gulf of Mexico, primarily for Pemex. But obviously, that translates into other opportunities for other producers than Pemex.
Operator: [Operator Instructions] We'll hear next from Avi Fisher with BMO Capital Markets.
Avram Fisher - BMO Capital Markets U.S.: Have you guys ever -- I don't think you've ever disclosed pass-through costs, So I just wondered, 2 quick questions, wonder if you'd ever considered disclosing your pass-through costs, or at least giving us an indication of how much they are in the I&I segment?
David T. Seaton: No.
Avram Fisher - BMO Capital Markets U.S.: Okay. The reason I'm asking is if I just kind of let my model run off based on sort of average rates lately, your revenues just start to exponentially grow, and I just kind of wonder at what point do you start bumping up against capacity in your segments? At what point do we have just too much of a good thing?
David T. Seaton: I don't think we bump up against it. Any -- when I look at the aspirations that I set for the company, I don't see any limiting factor from a capacity perspective. We're able to, as I said, I think we're the employer of choice in our segment and that's a global -- from a global perspective. We've got a very extensive process and tools that allow us to move from designing in Houston to designing in Manila and the designer sitting down at the same protocols, templates and systems, which is not consistent with many of our competitors. So I think our stability of execution model and that diversity is playing well for us. I think when you look at this -- the downturn, so to speak, 2 years ago, 3 years ago in Oil & Gas, we were able to actually strengthen our organization by putting some of those people on -- in different markets around the globe. But it also allowed us to grow that next generation of leader and manager and technical expert. So I don't see us hitting a capacity issue in any form or fashion as we go through the next 2 to 3 years. In fact, I believe that we're going to be able to outpace our competition in that regard.
Operator: And we'll move on now to Randy Bhatia with Capital One.
Randy Bhatia - Capital One Southcoast, Inc., Research Division: Most everything I have has been answered, but I do have a couple of minor ones. If you could -- I don't know if you guys have ever specifically said. I know you have a pretty bullish outlook in the Oil & Gas segment, and particularly in upstream. Can you comment specifically on how you feel Fluor is positioned with regard to North American liquefaction? There’s a lot of news on that. We got a lot of inquiries on that.
David T. Seaton: I think we're well positioned. I think there's a couple of sides of that. Clearly, there are large programs and we have absolute experience and capability in doing those megaprojects. The only piece that we've not been as active as others is on the cryogenic piece, but that's only one piece of that -- of those programs. I think we've also been very active in the re-gasification market around the globe and a lot of the transportation types of assets to both ship and receive gas products is part of our ability. When you think of pipelines, we have a robust capability in the design and construction of pipelines around the globe. that is translatable to North American market. So when you look at the whole gas play, we have the ability from the wellhead -- the wellhead up, we don't do any down-hole stuff, but the gas compression, transportation, the processing, all of the facilities that sit around the liquefaction plant, as you know or may have read, we're teamed with JGC on the pursuit of at least one right now, base load LNG plant, so I think we're pretty well positioned to participate in that market in a very large way.
Randy Bhatia - Capital One Southcoast, Inc., Research Division: Great. And just the other one, circling back on the Greater Gabbard project. Can you give us any kind of like kind of likely outcomes, scenarios and timelines with regard to the legal dispute that you guys talked about in the Q? I know, I mean I heard your prepared remarks, but I mean, what is the legitimate expectation for how long that could play out and could it be material in terms of defense charges or even longer-term earnings charges?
David T. Seaton: Well, I think the -- we're in the process right now that will end up in some sort of an arbitration. There's currently planned for some time this year. Who knows where that's going to go because of the legal wranglings that take place? But I think as I said, we feel very confident on the quality of the asset that we produced for the customer. The customer is enjoying the benefit of the power being produced. Many of the defects that they claim, we have refuted in both word and in technical deed and we feel good about where we stand. But we wanted to finish the project, which we will, except for punch list items and maybe some normal warranty issues, we'll be all but complete as we end the second quarter, which is the plan that we put in place some time ago. Even with the weather issues that we experienced in the first quarter and have already experienced in the second quarter, we're still on track, and we feel very good about the asset that we're leaving behind from a legacy standpoint, and the customer will enjoy revenues -- profitable revenues off of the generating capacity we provided them.
Operator: And we'll hear next from Joe Ritchie of Goldman Sachs.
Gregory Elek - Goldman Sachs Group Inc., Research Division: This is Greg Elek in for Joe. Just had a couple of quick questions here, and most of my questions have been answered. Just number one on the Power side. I know that NuScale is running in around $0.20 kind of headwind here. Do you believe that there is a possibility of that business kind of being profitable in 2012?
D. Michael Steuert: No.
Gregory Elek - Goldman Sachs Group Inc., Research Division: Okay. And in addition to the just adjustment on the tax rate, I just want to make sure that's mainly due to kind of the $0.10 benefit this quarter versus any sort of mix?
D. Michael Steuert: That was really out of an item out of South Africa that impacted the tax rates favorably in the quarter. I'm not sure I’d calculate the benefit that high, but where our normal tax rate is. We had a couple of things in the quarter, and the way I kind of view it is the favorable tax rate pretty much offset the unfavorable and unexpected in terms of what we got on indices. Where we took -- I think we disclosed the 13 -- roughly $13 million charge there. Those 2 were pushed and I think the bottom line is we came very close to your consensus.
Gregory Elek - Goldman Sachs Group Inc., Research Division: Great. I got it. And I just one last question, a little bit more kind of bigger picture here. I know that shale gas and your opportunity is kind of a big theme right now, and clearly, you're very well positioned around petrochem, LNG, natural gas firepower. It would be great if you could give us a better sense in terms of timing of which opportunity is kind of for each one of those opportunities for yourselves and where you kind of potentially see the biggest points in ramp whether that's 13, '14, versus today?
David T. Seaton: I believe first out of the basket would be petrochemicals. I think that you've seen a huge shift in the belief that it is a long-term profitable opportunity for our customers in that market with sub-$4 gas. So we're very active right now on the front-end FEEDs on both greenfield or new ethylene cracker complexes, but just as heavily involved in the revamp nature of a lot of the assets that have been starved for capital over the last decade. So I think that's the first mover. I think the gas-fired power is again, it's held up in the regulatory mire that we find ourselves in. And then I think liquefaction is probably last on that list except for maybe one of the programs that it's kind of maybe a little bit ahead of the others. But I would put them in that sequence of benefit for us.
Operator: And with that being our final question, I will hand the conference back over to Mr. David Seaton for any additional or closing remarks.
David T. Seaton: Thank you, operator, and thanks to all of you for participating this afternoon. We really appreciate the interest you have in our company. As you've gathered from our comments today, we're very pleased with our performance in the first quarter, which included a significantly strong new award quarter. We have a very strong prospect list for the balance of the year, but again, I'll keep reminding everyone of the inherent lumpiness quarter-over-quarter on the new awards. I want to take one last opportunity again to thank Mike for his outstanding leadership over the past 11 years. And again, welcome, Biggs, to the Fluor team. I'm very pleased to have had such a strong successor to Mike, and we look forward to getting an opportunity to introduce Biggs to all of you in the near future. Again, we greatly appreciate your interest in our company, and as well as the confidence that you show in Fluor. And I wish all of you a good day. Thank you, and goodbye.
Operator: That does conclude today's conference. Thank you all, once again, for your participation.